Patricia Bueno: Good morning, and welcome, everyone, to the BBVA Second Quarter 2022 Results Presentation. Thank you very much for your interest. I'm joined today by Onur Genc, BBVA Chief Executive Officer; and Rafael Salinas, Group CFO. As in previous quarters, Onur will start reviewing the group figures, followed by Rafa, who will go through the business area results. Then, we will move straight to the live Q&A session. And now I will turn it over to Onur.
Onur Genc: Thank you, Patricia. Good morning to everyone. Welcome, and thank you for joining us. So let me jump into it. Start with slide number 3. Before going into the details of the presentation, as you know, we announced a few weeks ago that we are applying IAS 29, which is hyperinflationary accounting in Turkey, in our business in Turkey, starting from January 1, 2022. So all the results that you would be seeing from this date show the fully adjusted figures. On the left hand side of the slide, you can see our recurrent net attributable profit evolution, reaching â¬1.877 billion. One more quarter we are posting record results. This figure, this â¬1.87 billion, it excludes the negative impact of â¬201 million in the quarter due to branches repurchase agreement with Merlin in Spain, as you know we have done this transaction. And with these numbers, we are 45% above the results of the same quarter of last year and 41.5% higher than the first quarter 2022 results, restated due to hyperinflationary accounting. Even after including the negative impact of the Merlin transaction, even after including that, this was our best quarter. These excellent results brings our earnings per share, at the bottom of the page, earnings per share up to â¬0.28, 58% higher year-over-year, a higher growth rate than the net attributable profit due to the share buyback program that we are all -- we are implanting, as you all know. And the graph on the right hand side of the slide, it shows our capital position, our capital ratio at 12.45%, above our target range and well above regulatory requirements. Moving to Slide number 4. You can see the incremental contribution of different business areas versus the same quarter last year, basically breaking down the overall increase of 45% into different areas. As you see in the chart, especially South America and Mexico have outperformed, reaching very good results, as Rafa will explain later in the presentation. In the case of Turkey, it had a positive contribution in the quarter even after implementing the hyperinflationary accounting. It is worth mentioning that due to hyperinflationary accounting, we registered a negative P&L impact due to the value loss of the net monetary position of â¬524 million in the second quarter. So these results that you're seeing are obviously after all those impacts. Moving to Page number 5. I want to highlight the outstanding evolution in the quarter of our tangible book value per share plus dividends, which closed at â¬7.5 per share. 18.4% increase year-over-year in tangible book value per share plus dividends, and 8.5% growth in the quarter. Regarding profitability, we continue to improve our excellent profitability metrics, reaching this quarter 14.1% in return on equity and 14.8% in return on tangible equity. We remain with these numbers clearly one of the most profitable European banks, and we keep advancing on this metric, obviously. Slide number 6. What stands out in terms of the key messages for the second quarter? First, excellent core revenue evolution. In my view, this was the highlight -- this has been the highlight, 30% versus the second quarter of 2021, supported by the strong loan growth across the board. 12.6% growth in loans at the group level versus the same period last year. Second, our leading efficiency ratio improving to 43.9% in the first 6 months of the year with positive jaws. Third, we are also reporting a strong operating income growth of 27.1%. Fourth, cost of risk at 81 basis points, better than expected, better than 2021 and better than pre-pandemic levels, thanks to solid underlying asset quality trends that we'll be discussing in a second. Fifth, our capital position is comfortably above our target range. And last in the page, the outstanding progress in key areas of our strategy, which then feeds everything else in this page. But our strategy is moving very well. We are reaching new record figures with 5.3 million customers acquired in the last 6 months of 2022, of which 2.7 million have been acquired in the quarter. And then also regarding sustainability, another key component of our strategy, we have extended â¬112 billion of sustainable financing since 2018. Again, a record in the quarter here as well. Given all this, we continue on the right path to achieve our ambitious long-term targets that we have disclosed to all of you in November last year. Slide number 7 and focusing on the year-over-year comparison with the second quarter of last year. This is the P&L. The second column from the left, that's what I would focus. You can clearly identify the very positive evolution in all the P&L lines, both in current and also constant terms. I would highlight again the strength in core revenues, NII growth of 33% and the fee growth of 21%, which coupled with the positive jaws, coupled with the solid underlying risk indicators, led to our best quarter with a net attributable profit growth, as I mentioned, in constant basis of 45.7%. Just as a reminder. The negative impact of the hyperinflation due to net monetary position value loss in this P&L is included in the other income and expenses heading. That's what the hyperinflationary accounting is asking us to do. Also, since 2020 -- since the beginning of this year, we are reflecting the contribution of the CPI linkers in Turkey, the inflation-linked bonds in Turkey, again, in the other income and expenses line, isolating it from NII, as they serve as a hedge against inflation. So the growth in NII would have been even larger excluding this change. Moving to Slide number 8 regarding the first half of 2022 versus the same period last year. I would once again highlight the very positive core revenues evolution, which increases 24% in constant euros, led by the increase in NII, 27%, and the fee income performance, amazing, growing at 18%. Again, as mentioned on the previous slide, the strong gross income growth of 16% coupled with the positive jaws, coupled with the solid underlying risk metrics, led to an outstanding recurrent net attributable profit of â¬3.2 billion. Moving to Slide number 9. Some light into the quarterly revenues breakdown, again, which was the highlight of the quarter. Our net interest income, at the top, on the left hand side, net interest income increased strongly, 32.9% versus last year and 14.6% compared to last quarter. Again, strong activity growth and also customer spreads improvement in most countries has been helping on the side. Next, on the right hand side at the top, the positive evolution on the fees and commissions across the board, again, increasing 21.1% year-on-year and 12.4% versus last quarter. Also, a good performance in net trading income with another quarter above â¬500 million. All in all, outstanding performance then in gross income, 21.7% growth year-over-year and 12.3%, double digit growth, versus last quarter. Slide number 10. On the left hand side of the slide, you can see the strong loan growth, which has been accelerating quarter-over-quarter, reaching a 12.6% growth in activity versus the same period of last year at the group level. Then, it feeds NII and fee income. And we do think that it will continue to feed NII and fee income going forward. In the center of the slide, you can see the examples of activity growth in Spain and in Mexico, both countries with very strong trends in loan growth, competitively also very strong growth. The growth in activity. And I would highlight here the profitable growth measured very closely at each individual client level, in our view, has been fundamental for our strong results. Lastly, on the right hand side of the slide, you can see the improvement in the customer spreads: only slightly in Spain and much better in Mexico in terms of evolution. The interest rates in Mexico, obviously, have been increasing for several quarters, and as such lending yields have a longer track record of catching up with the rate rises. But positive trends in both core countries. Moving to Slide number 11. We continue showing positive jaws at the group level thanks to the good performance of gross income, growing 15.8% in the first 6 months of the year. On the other hand, costs are growing 12%, below the blended inflation of our footprint, in line with our guidance. I mean, if you exclude Argentina and Turkey, the 2 very high inflation countries in our footprint, this 12% growth would have been -- on constant basis would have been 3.8%. On the right hand side of the page, you can see our efficiency ratio. The best compared with our European peers and further improving to 43.9% in the first half of 2022 from 45.4% in the same period of 2021. Slide number 12, you can see the evolution of the risk indicators. Impairments decreased 7% in the quarter, attributable to the positive evolution of the underlying risk performance of the portfolios, underpinned by very strong recoveries. Cost of risk closes at 81 basis points. This compares positively with the 93 basis points recorded in 2021. Even in this uncertain environment, we improved our 2022 cost of risk guidance to be below 100 basis and to be in line with 2021. And Rafa will talk about it in a second. But at the group level, we are improving both -- our cost of risk, as I mentioned, guidance, and obviously, we're going to be improving our core revenues guidance today as well. And Rafa will talk about it in every single country. Also, a very good evolution in the rest of the asset quality indicators. NPLs decreasing to 3.7% and our coverage ratio improving to 78%. Slide number 3. Our capital, our CET1 fully loaded as of June 2022 stands at a very good level, 12.45%. This level is 385 basis points above our requirement. Following the waterfall. In the waterfall -- after embedding the fee announced impacts due to hyperinflationary accounting that we announced at the end of June, then the capital consumption associated with guarantees tender offer and then the deal with the Merlin, they were pre-announced, you see the numbers there. On top of that, in the waterfall, you see first our results generation that contributes 59 basis points to the ratio. Second, the dividend accrual at -- 50% payout on this one, because according to the ECB mechanism, this has to represent the upper part of our internal policy. And then the AT1 coupon payments. After deducting all, they are all 29 basis points, as you see in the chart. Then third in the waterfall, 26 basis points from the RWAs' bucket in a context of strong, and as I mentioned, profitable credit growth. And then the last bucket is the bucket of others, 18 basis points, which mainly includes market-related impacts due to mark-to-market or health to collect and sale portfolios, and the FX. That's the market-related impact bucket. And the positive impact in the other comprehensive income equivalent to the net monetary position value loss in hyperinflationary economies registered in P&L and added back to the capital. As you all know, all these losses in the P&L are capital neutral. Moving to Page number 14, new customer acquisition. I'm always happy to discuss this slide, always happy to see this slide. We remain focused on profitable growth. And as we keep saying, the most healthy way of growing the balance sheet is through growing our franchise. And quarter-after-quarter, we continue to beat new records here in growing our customer franchise. We acquired 5.3 million new clients in the first 6 months of 2022, up from 4.1 million customers last year, and more than doubling the client acquisition that we had 5 years ago. And digital acquisition of customers, it was 6% 5 years ago. And today, it's 55%. Also here, we wanted to highlight that the quality of the customers acquired, their engagement is very high. In Spain, 72% of all the new customers acquired become target customers within 6 months. On slide number 15, you can also see how we are transforming our relationship and distribution model using digital, and how we are serving our customers in a much more efficient way, as you can see in this slide. While customer acquisition has been growing very fast in the past few years, the number of branches has decreased substantially, leading to significant efficiencies in every single geography, either in the form of much more customers with a similar structure, as in the case of Mexico; or somewhat more customers, but with a much smaller infrastructure as in Spain. BBVA is leading the curve in efficiency through digital, as this page also highlights. Turning to Slide number 16, another strategic priority. This quarter, we have hit a major milestone towards our sustainable financing goal. We have already mobilized â¬112 billion since 2018, more than half of our revised goal of â¬200 billion to be achieved by 2025. In the second quarter only, more than â¬14 billion, a new all-time record and 50% more than in the second quarter of 2021. And finally, Slide number 17 on our long-term targets announced in the Investor Day. To save time, I will not go into each one of them, but I can say that we are on the right path to achieve them all, as you can see on the slide. And for the business areas, Rafa?
Rafael Salinas: Thank you, Onur, and good morning, everyone. As anticipated by Onur, we are very happy to share with you another excellent quarter results in all geographies, supported by very sound operating trends across the board. Starting with Spain in Slide number 19. Another quarter with very positive business dynamics. The loan book is growing at 3.6% year-on-year with a strong performance of consumer lending, where we are almost delivering double digit growth, and commercial segments also growing above 10% mainly in short-term lending due to the recovery of the activity, leading us to gain market share in both segments during the quarter. In line with activity, all headings of the P&L evolved very nicely. First, core revenues grew close to 6% in the quarter, leveraged by high fees, mainly explained by banking services fees and a higher contribution from CIB. And a very positive NII dynamics, growing at 5.6% quarter-on-quarter, driven by loan growth and a disciplined price management with a clear focus on profitability. Second, cost control efforts are reflected in the performance of expenses, declining by 4.8% year-on-year, in line with our guidance, widening jaws, and improving the efficiency to an outstanding 46.7%. And third, on asset quality, we continue to see very sound underlying trends with lower NPL entries and higher recoveries, because the risk stands at low levels of 20 basis points in the year, below guidance. Due to a better than expected performance of the risk indicator, we are upgrading our guidance on cost of risk in Spain to around 25 basis points for the whole year. All in, very good results with recurrent net attributable profit reaching â¬1 billion in the first half of 2022. Based on the positive dynamics seen so far, we expect the loans to grow a low-single digit in '22 and the NII to grow around mid-single digit as the rate increase will start kicking in, in the second part of the year. Let's move to Mexico, Slide 20. Once again, we report excellent results. Net profit reached an impressive â¬1 billion in the quarter, being this one of the strongest quarters ever. In Mexico, we are benefiting from a strong activity and credit origination dynamics, with balanced growth on both retail and wholesale segments. The strong growth in consumer lending, supported by payroll and preapproved loans and also by the rebound of auto loans, our cash sales has taken off. SME loans grew close to 20% year-on-year, supported by activity recovery and our differential value proposition for this segment in Mexico. And finally, as we anticipated last quarter, wholesale portfolios have regained momentum in the context of higher investment and working capital needs. Moving on to the P&L. Results are excellent, reaching a new all-time record, driven by an outstanding growth of core revenues of more than 20% year-on-year. Strong NII growth supported by sound and robust loan growth and the continuous improvement in customer spend, benefiting from higher yield on loans, while the cost of deposits remain contained. Based on those dynamics, we have upgraded our guidance for '22. We are now expecting loans to grow at double digits and NII to increase around 20% above loans growth in a context of higher interest rates. Also, a strong performance in fees, growing close to double digit in the quarter and by 17% year-on-year, levering on higher transactionality, cash management and investment banking fees. Revenues growth is also benefiting from higher net trading income and insurance results due to the activity and lower claims. All in, gross income growth more than doubles the increase in expenses, leading to widening jaws and improving efficiency to an outstanding 32.2% cost-to-income ratio. In Mexico, we foresee bigger opportunities to strengthen our leadership. We have a clear organic growth warm up in this country and we will continue investing in segments with greater value. Additionally, inflationary pressures and our growth strategy in the country have led us to adopt a more cautious outlook on expenses. We now see expenses growing slightly above average inflation in '22, maintaining positive jaws. Finally, on asset quality. Good underlying trends drive the cost of risk below 260 basis points. Low NPL entries and some recoveries make us upgrade our guidance for the year. We expect the cost of risk to end up around current levels in 2022. Regarding Turkey in Slide 21. As already mentioned, we have had differing events this quarter. As we announced by the end of June, we are applying inflationary -- hyperinflationary accounting in Turkey with effect from 1st of January. The main objective of the hyperinflation accounting is to reflect the real evolution of the activity, eliminating the nominal growth caused by the very high inflation. As you can see on this slide, we are reporting a positive net attributable profit of â¬160 million in the second quarter of '22 versus an equivalent loss of â¬98 million in the first quarter of the year in constant terms. This improvement is mainly driven by the positive evolution of revenues, positive use and lower impairments. In terms of activity, TL lending is contained and is currently growing by 54% year-on-year, which is below the annual inflation rate accumulated to June with a 79% year-on-year inflation rate. NII growth is supported by loan growth in TL and improving customers' preference to the higher loan yields. Excellent performance in fees across the board, but especially in payment services, where we have a strong market share. Record level of net trading income in the quarter, with a strong result mainly related with FX trading. And finally, lower hyperinflation adjustment in the other income heading as the quarterly inflation has come down, which reduced the loss coming from the net monetary position. And this loss also has been partially offset by the revenues coming for the CPI linkage, will remain broadly flat quarter-on-quarter in current euros despite a lower quarterly inflation, because during the second quarter the size of that portfolio has increased. In terms of impairments, the quarter shows a positive evolution, mainly due to strong wholesale recoveries, while we continue increasing coverage levels for foreign currency denominated loans. All in all, sound asset quality metrics with improving cost of risk and NPL ratio year-to-date. Overall, we continue to expect very limited earnings contribution from the franchise in 2022 due to uncertain macro environment. And finally, moving to Slide 22, South America. This region continues showing very positive trends in terms of activity and results contribution. The net attributable profit reached â¬413 million, mainly explained, first, core revenues are supported by sound loan growth across the region, positive asset mix evolution and good price management. Fees evolved very positively, driven by good activity dynamics in all the geographies. Second, despite the high inflation environment, efficiency remains stable. And third, good asset quality trends with lower impairments and cost of risk remains at low levels. Derived from these good underlying trends in asset quality, we are improving our guidance for cost of risk in South America to around 160 basis points for the whole year. And now back to Onur to highlight the main takeaways.
Onur Genc: Thank you, Rafa. First, in the last page. The group's results continue showing the positive trend of the recent quarters. One more quarter, we have reported very strong results. Second, excellent core revenue evolution, mainly driven by strong activity and customer spreads. Third, we continue with our commitment to accelerate profitable growth and value creation for our stakeholders. Our tangible book value per share plus dividends growing at high teens. And we are one of the -- we are enjoying one of the highest profitability metrics among our European peers, and we keep advancing on this. Fourth, we have made significant progress in the execution of our strategy, reaching record figures in digitalization, customer acquisition and sustainable finance. And lastly, we are on track to achieve our ambitious long-term goals. And as a result of everything that we have said to you, you might have registered it, but we are basically upgrading our revenue expectations, core revenues in Spain, in Mexico. We are upgrading, improving our expectations in cost of risk in most of our geographies and at the group level. So we are also -- despite all the uncertainties that we would be living through in the second half of the year, we have a very positive track record to come in our view. Now back to Patricia for the Q&A.
Patricia Bueno: Thank you, Onur. We are now ready to begin with the live Q&A session. So the first question, please.
Operator:  The first question today comes from the line of Francisco Riquel from Alantra.
Francisco Riquel: My first question is on Mexico. So impressive results this quarter. So congratulations here. Loan growth here in Mexico accelerated mainly due to the large corporates, 6% up in the first quarter, now 15% in the second quarter. So I wonder what is driving this growth and how sustainable could it be? And then also if you can comment on the overall sustainability of the â¬1 billion quarterly profits in Mexico. Interest rates are set to rise further. And I wonder at what levels do you see a negative impact on the economy, loan demand, cost of risk. The U.S. economy is technically in recession. So I wonder how do you see the correlation between the U.S. and Mexico in this economic cycle. And then second question on capital. Just if you can update on the regulatory headwinds left that you mentioned was -- at least 35 basis points was the last guidance for the year.
Onur Genc: On Mexico loan growth. If you only restrict the positiveness in Mexico, the corporate segment, I would be a bit sad, because that's not the case. Quarter-over-quarter and also year-over-year. Year-over-year, you already have it in the presentation. But quarter-over-quarter growth, I'm looking into the numbers here in front of me. Mortgages up 3.3%, only in the quarter. So you can annualize it, obviously. Consumer, 4.1%; credit cards, 5.4%. SMEs, which is a segment that we like a lot, we want to push a lot, 3.8%. And yes, corporate also 6.6%. But it's very strong growth across the board. And then you also see the year-over-year growth in the presentation: 18% in SMEs, 18% in credit cards. So it's across the board. But you ask specifically about the corporate. On the corporate, the investment numbers are coming a bit better for the overall economy. So there is some investment-driven trend here. But it's mostly -- Francisco, it's mostly working capital loans in the short term. Because of the inflation, companies need that working capital financing and working capital financing is driving the growth. And these numbers -- I mean, the final quarter numbers, obviously, haven't come out, but we are gaining market share. We are gaining market share across the board, 40 basis points, roughly 40 basis points. So I think it's across the board. It's the strength of the franchise rather than some pure one segment or one product topic. Then the sustainability of â¬1 billion you asked under this chapter. We are very positive on Mexico. I mean, I did mention this to you -- to the analyst community last time as well. I really do think we have an amazing bank in Mexico. We have an amazing bank in Mexico. I mean, it's an amazing franchise. We have 24% market share in lending. But beyond that, the strength of the franchise, the talent that we have there, the customer franchise that we have there, the brand power that we have in Mexico, you cannot imagine the gap that you have with the second. The NPS, customer satisfaction that we have in Mexico, you cannot imagine the gap that we have with respect -- we are providing an amazing service because we have the best talent, best franchise in the country. In that context -- is it sustainable in the context of U.S.? There are uncertainties obviously. But Mexico is going to continue to grow. They're asking us that, "Well, the Mexican growth this year is going to be less than 2%. So how come this is sustainable? Looking to the last 10 years of Mexico -- unfortunately, I would say, the last 10, 15 years of Mexico, the growth rate of the economy is around 2%. It's not any different from what we have seen. But the growth in Mexico for banking is not coming directly from the GDP growth. It's coming from the penetration. Banking debt -- banking loans over GDP is one of the lowest in emerging markets landscape. It's around 39%. Brazil is 70%. So independent of the economic growth, the penetration of lending and banking is going to continue in Mexico. And that's going to drive the growth -- healthy growth of our balance sheet in our view. And then you ask about sustainability. The only two risks I would put on the table, obviously, we have to manage costs, number one, and cost of risk. Cost of risk, that's the key piece that we have to be paying real attention to, which we are doing. But in the vintages, in the new flows and so on, we don't see yet any signals of deterioration at all. That's why we have upgraded the cost of risk guidance for Mexico for this year. Then regulatory headwinds, your second question, Francisco. Let me repeat where we were. In the -- at the close of the year presentation -- it was, I think, end of January -- I said around 35 basis points, 35 basis points. In the last quarter, we said to you, we guided you that it's going to be slightly higher than 35 basis points. Today, we have positive news here as well. It's going to be lower than 35 basis points, as it seems. But it's a process. As -- we were hoping it to close in the second quarter. It didn't close that process in the second quarter. It's an ongoing process. There are a lot of details on that program that we are aligning ourselves with our supervisor on the different models and so on. So the current expected results of that process is going to come most likely fourth -- possibly third quarter, but very likely to be fourth quarter and maybe even next year. But most likely to be fourth quarter. So we will see. And there is some uncertainty in that process. But today, we want to highlight to you that the number will be -- remaining number will be less than -- clearly less than 35 basis points. Because we have -- in the first half of the year, we have taken 15 basis points prudential provisioning for -- 15 basis points in capital from that. So now we will have less than 35. That's the latest guidance that we have -- we can give to you. But please be aware that there is some uncertainty around this process, and the number will be finalized at the end of the year. The final message that I will have on this is, again, there is some uncertainty, but we are very clear and very comfortable with the fact that our upper end of our target range is 12. We will be clearly above 12 at the end of the year in terms of capital.
Patricia Bueno: Next question, please.
Operator: The next question today comes from the line of Benjamin Toms from RBC.
Benjamin Toms: Two for me, please. You just printed an annualized ROTE of 14.8%, which you said in the presentation you'd hope to advance on. In this context, should we think about your 2024 guidance of 14%, presumably that target is now obsolete. Can we expect you to come back with a new target at the year-end? And what would the 14% target have been, do you think, if you'd advanced it in the current rate environment? And then on operating expenses, they're up 12% on a constant year-to-date basis. I think last quarter you gave us this number adjusted for a low variable comp base. Can you give the equivalent number this quarter, please, if you have it? And I guess in your perspective crucially, it's just below your weighted average inflation footprint. What you have penciled in for your weighted average inflation for your footprint in 2023?
Onur Genc: Very good. On the 14.8%, would we upgrade it or what would be our new number. That's what you're asking, as I understand, Benjamin. There was a cut in the line. But we just said it. So it 6 months ago. And the Investor Day was in November. And we have a 3-year plan. I see your appetite, but it's too early. And we will revise it. We will look into it. But at the moment, it's too early to talk about revising the goal after we said it 6 months ago. Just because the numbers are going so well, we should not be jumping into conclusions right away. We have committed 14%, and we are clearly on that point that we will deliver the targets that we have committed to the market. On the OpEx, the variable compensation, I think the question was "last time it was low" -- we are basically accruing it at the numbers that you see. So it's slightly higher. The accrual that we are doing on variable compensation is adjusted every 6 months or so. And this time, we have adjusted it to the levels that you see in these numbers. So a little bit of the increase, not a lot, but a bit of the increase is coming from these great numbers that we have, and as a result, a slight increase in the variable compensation accruals. Weighted average inflation. As you see on page -- in the presentation, it's 13%. We don't -- I mean, the final number is not -- we don't have it, but it's going to be around this range. Because the inflation numbers that we see is quite high at the moment. There will be some slight decline in the next 6 months, but it's not going to be creating a major change from that 13% that you see. That 13%, by the way, is the weighted average with the weights being the OpEx of every single geography. So it's the cost weighted average of the geographies. In that context, Spain, obviously, is a big part here and Mexico. And given all that, I think it's going to be around this range, not much change from this.
Operator: The next question today comes from the line of Maks Mishyn from JB Capital.
Maks Mishyn: I have 2, if I may. One small follow up on Mexico. I was just wondering if you think that part of the acceleration in growth comes from the fact that there is consolidation in the market and some of your peers might have lost the focus a little bit. And then the second question is on macro model. Macro estimates have been downgraded across the board for most of the countries worldwide, but you improve the cost of risk guidance for most regions. And I was wondering if this is related to the fact that you have been more conservative with model input? And what kind of COVID-19 buffer do you still keep in your books?
Onur Genc: Mexico. Rafa, please comment on this one as well. But I don't think it's only related -- obviously, it helps. There is a discontinuity in the market at the moment. One of our core competitors is in the process of being sold. So it obviously helps the competitive situation for us. But I wouldn't only tie it to that one. Because when I compare our market share gains, not only against that specific player, but others, I think we are gaining against others as well. So it's broader than that in my view. But obviously, it's helped. It's helped by this discontinuity. Regarding the macro models. If the question is: are we releasing any provisions from the macro models? The answer is no, obviously, not. Because the macro is not -- we are not in a situation of releasing provisions due to macro. There is a slight negative coming from the macro modeling at the moment for the future losses. But the numbers that you see here or the guidance that we are giving that it's going to be better is because the underlying risk parameters and the 2 components there, which is business as usual, what are the delinquencies and what are the NPLs. On that one and also on collections, collections from the NPL books and others, they are both still showing very positive trends. Again, I have to open this chapter of uncertainty going forward, obviously. I mean, the world is going through uncertain times at the moment. But the signals that we have at the moment is quite positive. So the reason that we have a better cost of risk than usual and the reason that we are improving our guidance is purely because of the underlying risk metrics and the risk trends that we see. Regarding the buffers or regarding the overlays. I mean, we did discuss it in the past as well. The total overlays that we did during COVID and after -- slightly after COVID, the total number was â¬1 billion to â¬1.2 billion beyond the other things. But that was the overlays, what we call PMAs, post-model adjustments. â¬1 billion to â¬1.2 billion. Except the â¬250 million that we didn't assign to any portfolio -- â¬250 million is basically unassigned, which is basically a pure buffer. The rest, we assigned them to specific -- very specific portfolios, not because we see deterioration trends in those, but we do expect some deterioration in those specific portfolios going forward. So they are allocated, but there are still overlays. We are posting our numbers today and our cost figures today without making any major release from those overlays. That's also important. And our guidance to you about the rest of the year is, again -- I go back to my second comment, which is, it is driven by the pure underlying risk dynamics. In the guidance that we have, we are also not forecasting or projecting any releases from those overlays because they're assigned to certain portfolios. And the â¬250 million that we have as a kind of an overall overlay, a pure buffer, in the next 6 months we will probably assign them to different portfolios as well. So we are not releasing anything from those overlays. Anything -- You know Mexico very well as well, Rafa. Anything on Mexico? Is it because of Banamex, basically? That's the question.
Rafael Salinas: No, no, you said -- I think there are more components than just pure consolidation in the market. The dynamics of our bank there is just performing very, very well. And of course, the consolidation will help. But this is not the only factor.
Patricia Bueno: And next question, please.
Operator: The next question comes from the line of Alvaro Serrano from Morgan Stanley.
Alvaro Serrano: A couple of questions, one on capital. Can you give us a sense -- because obviously, there's a lot of moving parts -- where you think capital may end up at the end of the year? I realize you already pointed out the 35 basis points may or may not hit. But maybe excluding that or -- or give us some sense of the progression sequentially from the current level given there's been a bit of movement since? Maybe related to that, would you be -- do you think you'll be in a position to consider buybacks? Your current buyback program is coming to an end, and I think it would be important to sort of make amends with those investors that were disappointed about Turkey. So the first question is that, on capital. Second is on the bank tax. We've now got the details. I don't know if you have any early thoughts from the details that were revealed yesterday. And is there any intention to charging core -- just your thoughts of the feasibility of the tax going ahead in its current format? Just some early thoughts would be much appreciated.
Onur Genc: Okay. On capital. Let me make it clear because I presumed that I wasn't very clear in the last one. So the base case is very clear. The base case is we will get that additional impact from the supervisor this year. The base case is we will get it in the fourth quarter. There might be some changes in it, because we told you 2 quarters ago or a quarter ago even that it might be -- it will be in the second quarter. And it has prolonged. But the base case is we will get the charge in the fourth quarter. With that charge -- and let me also repeat once again what that charge can be or will be. There is uncertainty in that figure because it's an ongoing process. That's why it's going to continue until the fourth quarter. But as I mentioned, there is some positive news there. And what we guided you before, originally 35 basis points. Then, slightly more than 35 basis points. Somewhat more than 35, I think, was the language that we used last time. This time, we are telling you that it will be somewhat lower than 35. That's the base case. So 35, less than -- somewhat more than 35. And now, somewhat less than 35 is our guidance to you. But that will be in the fourth quarter. With that fourth quarter hit that we will be having, we will still be comfortably above 12%, is our expectation, comfortably above 12%. The only uncertainty here, obviously, is the market component. So the supervisory impact is more or less -- again, there is uncertainty there, but it's a manageable uncertainty. But the key uncertainty would be the market component, meaning what would happen to the yields and this and that. But even considering different scenarios on this one, we feel quite comfortable that we will be above the 12% range at the end of the year. Then you ask about the buybacks. And on this one, our position is very clear. We have been very clear on this for all the quarters now, which is we will analyze things when they come along. As you know, we have increased our payout policy from 35%, 40% to 40% to 50% last year. And as you also know, we have injected the flexibility of paying some of that payout, not the majority part, but some of that with share buybacks. So depending on how the share price evolves and so on, there is always that flexibility within the policy itself. Beyond that, we will obviously always look into where we are, where we would be. And it's an ongoing discussion, ongoing decision, obviously. On the bank tax, any early thoughts. The early thought is a very simple one. We really think this is bad for Spain. I mean, you put a tax on a sector if you want to restrict the activity of that sector. Banking sector does not have a negative externality, as economists call it, which is we don't create a negativity in the economy. We don't create a bad GDP feed. We actually prosper and we push the growth of the economy. As such, if you don't have a negative externality, why would you impose a tax on a sector that you need the most at the moment. At the moment what Spain needs is manage the uncertain environment that we are in and manage growth. We have to grow in Spain. And this tax is going to basically negatively affect, in our view, that whole process. But you're asking the details, I guess, of the numbers and -- it's announced yesterday the latest proposal it's going to be discussed in different camaras there, the parliament and so on. But 4.8% on the fee income plus net interest income of banks restricted to, obviously, to the Spanish business unit. So you can basically very quickly multiply 4.8. With that number, it's around â¬250 million. But there is a lot to be done, and it's not finalized. Today, actually, there is a big meeting on understanding the details of this. So it's still too early to comment on the whole thing. But I'm really sad on this one, because I really think what Spain needs at the moment is growth, not taxing banks.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Sofie Peterzens from JPMorgan.
Sofie Peterzens: Here is Sofie from JPMorgan. So just going back on the banking tax. From the outside, it seems a bit unfair given that the smaller banks are excluded. In Sweden, we saw a similar banking tax or, although much smaller, but the banks actually pushed back and it was kind of reviewed by the ECB. Do you have any similar plans of kind of pushing back and potentially saying that it's considered  given that smaller banks are excluded? And also related to the banking tax, do you see kind of any potential banking taxes in any other of your jurisdictions that you operate in? So that will be my first question. And then my second question would be on Turkey. I know you say that the earnings contribution will be quite limited going forward. But in the second quarter, you printed â¬160 million net income. Could you maybe just elaborate a little bit more on how we should think about the Turkish earnings contribution going forward? And is â¬160 million sort of a good run rate? Or should we expect a smaller number? And then maybe just one final question. There were some press rumors about Onur, you leaving BBVA. Anything you can say here?
Onur Genc: See --I feel, Rafa, I should -- you should answer some of these questions, including my possible departure.
Rafael Salinas: I couldn't take that one.
Onur Genc: Well, you don't want to take that one? Okay. So I'll start with the first one, maybe Turkey question. Rafa, if you can help on the Turkey question.
Rafael Salinas: Okay.
Onur Genc: So on the smaller players being excluded from the tax, the latest that we see -- again, it's still to be finalized, let me say that way, and there are still details to be known. And as I said today, there's a meeting to understand some of those details. But the latest is the net interest income plus the net commission income, the net fee income, total, if it's less than â¬800 million, you are exempt from this tax. It basically exempts all the cajas, the saving banks and so on from the tax. So if you're asking what does it mean and would that affect competition? The answer is absolutely. I mean, there's no doubt about it that it will affect competition. And it's not fair. If it's a sectoral tax -- and as I said, even if it's a sectoral tax, that's also unfair. But also within the sector if you create this competitive misalignment, that's very, in my view, unfair and also unproductive for the whole economy and it creates bad competition dynamics. So if the question is, what is it and is it bad? It is as such. But we have to understand the further details before we can comment fully on the whole topic. Do we see any other tax discussions like this happening in other geographies? Not at all. And once again, I underline, it's not only true for Spain, for any country. Banking -- taxing an industry -- taxing banking, an industry that doesn't have a negative externality, an industry that is actually -- that needs to grow to help the rest of the economy to grow, taxing the banking sector is not good for any country. And there are -- I mean, you can go to Google and you can just ask impact of banking taxes in any geography. You would see that there is empirical evidence on this. There is so much academic work on this. It hurts the economy. It doesn't help the economy. In that context, I hope that other countries also look into that empirical evidence and look into that academic work. What can I say? Then on Turkey, the hyperinflationary accounting and the impacts.
Rafael Salinas: I mean, on Turkey, first, I would say, Sofie, that the result of the second quarter reflects at the end of the day the good management of the great bank that we have there. I think, clearly, if you see, I mean, net trading income and also the fee income that we have there, this is very, very, very brilliant results. And then also, the team is clearly managing all the hyperinflation impacts mainly through the management of the ALCO portfolio with the CPI linkers. At the end of the day, the day-to-day business they are just managing. The reality that -- a position of -- a net monetary position above â¬5 billion is also partially balanced -- or counterbalanced by a CPI-linker portfolio close to â¬4 billion. So at the end of the day, the results reflect what is a good reality of business. Having said that and as a guidance for the future, the macro uncertainties are so high that it's very difficult. It's very difficult to know how it's going to be the evolution. And that's the reason why we are conservative and we are still providing a guidance that we assume that the contribution of Turkey in 2022 is going to be very limited at the group level.
Onur Genc: Regarding the last question, the rumors about me leaving. It's a -- Sofie, it's a complete fabrication. It's not even worth to comment because it's a complete fabrication of facts or things. So it's not even worth to comment. There's not such a plan whatsoever.
Rafael Salinas: So no opportunity for the rest of the team.
Onur Genc: So...
Rafael Salinas: No opportunity for the rest of the team.
Onur Genc: No opportunity for the rest of the team.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Ignacio Ulargui from BNP Paribas Exane.
Ignacio Ulargui: I have just 2. One on what's your view regarding the Single Resolution Fund contribution and the other regulatory charges that banks have. And they should come to an end in '24. What should we expect there? Because I mean that could be a very good offset of the headwinds of the tax that we have discussed before. And secondly, just wanted to understand a bit better -- and I know that you don't provide guidance on fees in Mexico. But I just wanted to understand the performance of fees? How sustainable they are? How sustainable do you see them? And also, if you could comment a bit on the trends in insurance revenues? Because you made a comment in the call that insurance revenues were very strong in Mexico. So I just wanted to get a bit of a sense what should we expect going forward on these 2 lines.
Onur Genc: On SRS, Single Resolution Fund. As you know -- I mean, we -- in this quarter, we actually contributed â¬251 million, if I'm not mistaken, no, Rafa? â¬251 million. Which is close to â¬60 million more than what we provided last year. So this is -- as you know, there's a legal basis or there's a regulatory basis around this, which is you have to fund a pool until 2024 so that you would have enough funds to cover for potential losses going forward. This year, it is much higher than last year for 2 reasons. Number one, they increased the multiplier to be able to ensure that -- safety of this pool. And also, there is this rule that when there is a consolidation within Europe -- and in the case of Spain, there was a consolidation last year -- the consolidated entity is exempt from this. But the big part of the increase was the multiplier. I'm explaining all this detail to you because there's a fine and detailed calculation on how to fund that pool by the time that you have referred to as well. In that context, we do expect that given the regulatory basis is going to be completely satisfied and given the fact that there will be enough calculated funds in that pool, it will stop in that time frame. But again, we'll see. And our expectation -- our base case expectation, though, is clearly it will stop, because there's a very clear framework around us. Then the fees in Mexico. The core of the fees coming in Mexico is payments. And we are gaining market share, a significant market share in credit cards, in POS, in the TPV machines, as we call them, I mean, the acquiring business. Ignacio, the growth -- year-over-year growth in the payment business in Mexico is 27%, because we are gaining market share and we are pushing a lot. I mean, if there is -- there are a few of those. But if there is one of the -- a few ones that I personally put a lot of focus on with the team, everyone, I mean our finance, our risk team, our country, it's the payment business. We are pushing really hard on growing our business in payments. That's the reason, 27%. Is it sustainable you are asking? If we continue on the trends that we have, which we -- and this is a bit of a stock business. We have created that stock. So I have very high expectations that the strength of the fee income generation in Mexico is going to continue. Did I miss anything? That was the 2 question, no? Okay. Sorry, there was the insurance topic. Insurance topic in Mexico going, again, extremely well, growing double digits.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Andrea Filtri from Mediobanca.
Andrea Filtri: The first question is on, if you could possibly elaborate on your NII sensitivity beyond what you do in Slide 44, giving us something we can all observe more on a regular basis. If you could give us by country the -- what would happen to the NII if we plugged in forward rates curves with no deposit beta. Otherwise, it's difficult for us to reconcile your guidance there. And then you talk about cost guidance against a 13% inflation rate. Now I just wanted to understand if we should start to factor in higher cost growth across the geographies given the higher inflation or if you're thinking to be able to offset that in the different geographies, clearly? And then a final one on Turkey. Yes, the macro environment is very, very difficult, but the size of the impact to the group is huge line by line. If you could help us understand sort of year-end basis where you would expect the main P&L lines to end in -- a ballpark figure?
Onur Genc: So maybe -- Rafa, maybe start with the first one. Yes.
Rafael Salinas: On NII sensitivity, you asked about all the geographies and the realities. I mean, the big NII sensitivity to interest rates in our case is in the euro balance sheet. So at the end of the day, we maintained the same sensitivity that -- between 15% and 20% to a parallel movement on the curve. Today, the forward curves are not indicating that part of the movement. So at the end of the day, they are just projecting growth in the very short term just with some kind of inversion ahead. So what is key for this NII sensitivity, it's just on the asset side. In our case, it's just the higher weight of the mortgage portfolio compared with the system, clearly. And the second is just the hypothesis that we have in terms of the behavior of the deposit side along the movement of the crude. And clearly there, we are expecting that -- of the total deposits with clients in Spain, we are expecting that -- we are not seeing in the very short term, I think 2022, a translation between demand deposits to time deposits. This is going to happen mainly in 2023. Second, I think -- we believe that this movement clearly is going to be seen because of the consolidation that we're seeing in the Spanish market compared with the previous cycle. We need to see what is the behavior of the competition, how the competition moves from the asset to the liability side. And thirdly, just the pass-through, I mean, what we call the beta, on this movement that we are expecting to be around 75%. So the combination of those factors is at the end of the day what is going to provide you the sensitivity, that, clearly, we maintain. After the movements that we are expecting in the market, clearly, we see at the peaks that we are seeing on the markets, the sensitivity is going to be much lower, clearly. So after the movement that we are expecting on the curve, probably, I mean this sensitivity from 15%, 20% is going to decline to the 0% to 5% levels.
Onur Genc: On the cost question, Andrea. So first of all, you really have to -- especially in the cost number, you have to decompose and isolate for the mix of countries, as I mentioned in the presentation. I wasn't sure that you were there. But the 12% growth in costs, if you isolate only 2 countries, which are relatively small in the grand scheme of things, but Turkey and Argentina with high inflation numbers -- if you isolate those 2 countries, 12% growth in costs would have been 3.8%. Now going forward -- you're asking going forward. On that one, we basically confirmed the Spain number. As you know, our guidance in Spain for costs was to decrease at mid-single digit. We confirm that guidance to you, decrease at mid-single digits. In the case of Mexico, we are basically saying that it's going to be lower than inflation. It's going to be -- or around inflation. In the case of Mexico, we are seeing an opportunity, as you have seen through -- in our results today. We are seeing an opportunity to grow. If that requires a bit investments, we will be dynamic around this. So around inflation, maybe slightly above average inflation, we will see. But we will be investing in Mexico at these times. We do have an opportunity that we cannot miss. There is an opportunity to grow our business healthily in the case of Mexico, and we will do that. But overall, when you look into the different guidances and so on, below inflation is what we are still saying. And how below inflation? It's so uncertain that don't ask us to granularize this even more. There are fine details around this, but it will be clearly below inflation for the whole group. Turkey P&L perspectives, Rafa, do you want to take it?
Rafael Salinas: On Turkey, I think we have commented in previous quarter. We clearly -- we have a red line there. We don't want to increase our foreign denominated portfolio. So that, clearly, we'll continue decreasing quarter-by-quarter. And in terms of the TL portfolio, clearly, we are expecting to grow at similar levels that we did in the first part of the year and try to grow below the inflation rate. On the activity and on the NII, our guidance is that we are expecting the TL -- the growth of the NII to be above the growth of the portfolio, of the TL loan portfolio. In terms of expenses, clearly, around average inflation rate. And the cost of risk, we are expecting to be around 150 basis points given the high macro uncertainty.
Onur Genc: But on hyperinflation, maybe, Rafa -- because this is the first time we are talking about this in these calls. I would like to make sure that you all understand. Because everyone says it's -- it's not complicated at all. The numbers are very clear. There are 3 changes that is happening to our P&L and to our accounts as a result of hyperinflationary accounting implementations. Number one, there is this concept of net monetary loss. I mean, our Investor Relations have a short, very clear presentation on this. If you don't have it, please do get it. But the first impact is what we call net monetary loss position. Net monetary -- the losses -- you look into your net monetary position and you just multiply it with inflation. In the first half of this year, we have registered minus â¬1.686 billion -- minus â¬1.7 billion in the other income heading for these losses. This is the other income, and then you have to take the minority interests and so on. But the other income gets a direct hit from this net monetary loss, which is â¬1.6 billion -- â¬1.7 billion in the first half. That's the first change. Number two, you move your CPI linkers from NII to other income. Again, in the first half of the year, we moved â¬1.1 billion of CPI linkers revenue from NII to other income. That's why the NII numbers that you see is completely isolated from the inflation in Turkey and so on, because it's everything -- all of these inflation-related things move to other income. So that's the second one. CPI linkers; the revenue associated with that moves from NII to other income. And then the third, which didn't create too much change, but for you to know. We restate the P&L not with the average currency, but we restate it with the end of period currency, the fixing. And then we adjust all the line items by inflation. It didn't create too much change this third one. So the key two changes that you should know is net monetary loss that we registered, again, â¬1.7 billion that we registered in the accounts in the first half before, obviously, minority interests and other income heading; and then movement of the CPI linkers from NII to the other income. Those are the -- or those are the changes that you should be aware.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Ignacio Terroso from UBS.
Ignacio Terroso: A couple of quick things for me. Most of the questions have been answered. But the fees in Spain, if you can give us a little more detail, basically, of the delta between Q1, Q2. You're talking about like â¬40 million increase in the quarter. You mentioned CIB, but if you can put numbers basically to the different segments. And then in Mexico, if I have a look at volumes, if I have a look at customer spread, I might have expected probably NII to grow a little bit more. So I'm not sure basically if there is anything holding that growth back coming from treasury portfolios or any other aspect basically of the balance sheet? Or maybe my expectations were a little bit too optimistic.
Onur Genc: I will start with the second one. I mean, God bless you, Ignacio. I mean, you're expecting more NII in Mexico? No, compared to your numbers, I understand. I was joking. But in the first quarter, there was this BPA, inflation-linked bonds. If there is a -- it's not really tied to inflation. But if the real interest rate is negative, you get compensated on those bonds. In the first half -- in the first quarter of the year, there was a bit of that impact. So the baseline -- the growth is maybe -- if you are looking into the percentages, is partially impacted from that. And in the second quarter, the BPA impact was much lower, basically none, â¬3 million or so, very little as compared to â¬40 million in the first quarter. So that might be the reason on the Mexico number. But the activity has also been picking up. Maybe the average loans versus the end of period loans -- the number that you see in the presentation, obviously, is end period. So the average loans was a bit lower throughout the quarter. So if you like, we can do the spreadsheet with you afterwards. But it's maybe because of this average loans or the BPAs. Regarding fees in Spain that you ask, it's basically coming from what we call banking services and basically coming from, within banking services, payments. Again, we are pushing credit cards and acquiring business. A lot -- we gained a lot of market share in acquiring in the first half of this year. But the year-over-year growth or -- you ask quarter-over-quarter, I think. Quarter-over-quarter growth in payments, credit cards, including POS, the TPV machines, it's 24% in Spain, 24%. The gap is around â¬15 million, â¬16 billion. So banking services was the key reason, 14% growth quarter-over-quarter. CIB, as you said, did a very good job, 19% growth quarter-over-quarter. And insurance in the Allianz deal is also slightly -- it's a small part still, but it's also moving very nicely. The piece that we lost because of the market impact was asset management. It's down 3%. But when you sum them up all, quarter-over-quarter growth was 7% despite the asset management softness because of the markets.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Daragh Quinn from KBW.
Daragh Quinn: First question would be just on the level of inflation in Argentina and Turkey. Do you feel at some stage it could be worth stripping them out of the P&L and just reporting their contribution in terms of cash dividends actually paid out of those countries as they significantly distort revenues and costs relative to the rest of the group? And then a second kind of broader question. You're doing a share buyback. Your profitability is improving.  per share is growing. No direct exposure to the things in Europe and Russia. And yet the -- your shares are underperforming the sector this year. So what do you think the market is missing? Or what do you think you need to do better to change that dynamic?
Onur Genc: Turkey, Argentina, any comments, Rafa, on the inflation levels? I mean, if it gets any worse than this, it's even a much larger crisis. They are already too high in my view. But any comments from you?
Rafael Salinas: I mean, the other comment is -- clearly, I mean, we have a base effect. I mean, the second part of the year is going to benefit in terms of inflation rates in both countries, because, clearly, they are comparing with lower levels of prices in the first half of '21. So in the second half, we should be -- we should see a slowdown of inflation. Having said that, in both countries, apparently -- I mean, the dynamics is still -- are going to be pushing on inflation, additional in Argentina because of all the political turbulence that we are seeing in the last few weeks. So I would say, in terms of number, probably we will see a slowdown in terms of inflation rate. But the dynamics still are there, so we will need to see and wait.
Onur Genc: Regarding the share and the share price and so on. Daragh, I'm not sure whether we discussed this individually or in a separate session, but very quickly. I mean, there are 2 important -- there are multiple, but there are 2 important -- very important, in my view, cases or reasons why BBVA is a great stock to own and BBVA is a great company, to tell you the truth. Number one, we do have unique franchises in the countries that we are in. We are diversified. But beyond that, in the countries that we are in, we have unique franchises. And I say this with numbers, because everyone can say this. The ROE of our banks in the countries that we are present versus the ROE of the banking industry in that respective country. So isolating for country differences. We have very meaningful positive gaps with competition, and this has been consistent year-over-year. So we do have great banks. Otherwise, this result would not have been produced. So that is an amazing -- and in general, banks have to make money. And if you have this meaningful positive gap with the industry, you will always do good returns on your capital in our view. So that's the first thing that you should know about BBVA. The second is, we are, in our view, far ahead or ahead, let's say, of others on certain topics, definitely on digitalization. And not because we are much smarter than others and so on. No. We have invested in this much more and much earlier than others. Maybe that's the smartness, I don't know. But we put so much effort on this topic of digitalization, transforming our business, innovation and sustainability now. Those trends that shape our industry, we believe we have been putting much more effort, much more thinking, much more dollars investment into those areas. As such, you have seen the number, 5.3 million new customers in the quarter. I really do -- if a fintech makes that number of customer acquisitions in a quarter, if a fintech does this, the equity markets will embrace that fintech like crazy. And we are doing that with digital with a very low cost curve, and we are not being even recognized or registered on this. But okay. So these are the 2 things, though, that makes us different. We are -- we have great franchises and we have invested in things that matter in our business. As a result, we are delivering the results that we have. So all what I've been saying might be rosy, grandiose words and so -- no. In numbers, we are delivering this. If you look into our share price today, the dividend yield, the payout that I mentioned to you, if you do a simple back of the envelope calculation, you would be getting close to double-digit dividend yield. And let alone, the growth of the business in revenues is amazing in my view as compared to other banks. It's very easy to compare with other banks as well, the growth in revenues, which is the profitability is there, the growth is there. That should be the driver of the share price, I guess. We are close to double-digit dividend yields, and that's where we are. But having said all of this -- I mean, you pushed on my button. So apologies for the long answer. But I really do think that our job is to keep delivering. If we keep delivering, at some point it will be recognized, because at some point the returns will flow. And the returns -- the share price will realize these 2 things that I was mentioning to you before as well.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Carlos Peixoto from CaixaBank.
Carlos Peixoto: The questions will actually be centered in Spain. One of them will be a bit of a follow up. If you could just repeat what type of growth in NII are you seeing for '22? And then a bit following up on that, you mentioned the mid-single-digit increase in loan volume. That's taken. I was wondering how you're seeing this behaving through segments. Whether you're noticing a lower demand on the market segments in light of the interest rates movement, of the recent interest rates movement and basically the concerns of higher interest rates capping demand on that segment? Overall, how you see that evolving? And then another question would be on the cost side. I believe that your previous guidance was a mid single digit decline. Do you keep it? Or inflationary pressures probably should deteriorate ? Just how do you see things evolving on that front?
Onur Genc: Okay. We couldn't get all the questions maybe, Carlos. But the things that I got: number one, NII growth or NII discussion on Spain; number two, the activity related to this, are we going to -- what is the latest on the activity growth; and the third one on the cost side. Maybe NII, you take Rafa. Let me start with the activity. You see it, Carlos, again, on the presentation, we are growing in the areas that we wanted to grow. Looking to year-over-year growth in Spain, consumer and credit card, they are growing 8.6%. Very small businesses. The PMS, they are growing 3.8%. And the back segment, the commercial segment, the core commercial segment, it's growing 14%. Those were the areas that we wanted to grow, and we are growing very nicely in all of them. That's why we are upgrading or we are telling what we told regarding the activity growth expectations for the rest of the year. But you are right. I mean, we are in this uncertain period. We shouldn't be too rosy on the activity levels going forward in my view, because the rates would be going up. And given the uncertainty, given the impact on the companies, people might be shying away from taking that leverage, that additional leverage. There are only 2 things that we are seeing which is basically leading us to give you the guidance that we gave, which is still relatively robust growth in Spain as compared to what we have been seeing in the past years. Number one, the inflation. The inflation is also creating working capital needs in companies. And that's absolute level, not may be real, but absolute level that leads to growth, especially on the corporate, commercial segment. And then the second thing is, despite what we are seeing, the leverage in Spain is still much lower than what we have seen. This country has been deleveraging for the last 13, 14 years. Every single year, debt over GDP, household debt over GDP, corporate debt over GDP, it has been coming down. We now -- I mean, it has come down close to 25 percentage points in household debt over GDP, and it has come down 35 percentage points in terms of corporate debt over GDP. So it has been deleveraging. Given that, there is room for companies to take that additional debt, and there's appetite on our side to acknowledge those good companies and to go and serve them. To cut a long story short. There are balancing factors. It's still uncertain. We have to be careful with the guidance these days. But we see positive trends for other reasons. As such, we are repeating our guidance as we have done today. On NII growth, Rafa?
Rafael Salinas: On NII, I think we have upgraded our guidance to grow at around mid-single digit. You remember, we were -- at the beginning of the year, we were expecting NII to be flat. We were more positive at the end of the first quarter given the evolution of rates. And clearly, today, when we have seen the initial increase in rates from the ECB and also how this is going to contribute to provide continuous -- providing value with the TLTRO and also the dynamics that we are seeing in activity and the customer spread that we saw on the presentation, clearly, are guiding us to improve the NII guidance to this mid-single digit.
Onur Genc: And costs, we reiterate our guidance. So you said given all these inflationary pressures are you sure. We are -- obviously, again, there's uncertainty, but we are reiterating our guidance of costs decreasing at mid-single digit. This is mainly because of the restructuring program that we did last year. It's the benefit of that program in the accounts. So there are inflationary pressures, and we will see them in the rest of the year. But we are confirming our guidance.
Patricia Bueno: Next question, please.
Operator: The next question comes from the line of Britta Schmidt from Autonomous Research.
Britta Schmidt: My first question will be on Turkey. Given that loans do not really reverse with inflation, but with rates, how do you expect to manage the inflationary environment with your top line? Should we expect a greater focus on fee income? And is there a sort of a ceiling that you have for CPI-linker portfolio? Or should we expect that to go in line to balance out the net monetary position? And the second question will be whether you can give us any color on the discussions you're having with the regulator regarding the analysis of recessionary risk on capital? And do you expect that to maybe change your perception of what management buffer is required in the near term?
Onur Genc: On Turkey, the priorities are very clear. We have been doing that for years now, but we are even accelerating the pace. First of all, before revenue line and CPI and this and that, we have to continue reducing the FX exposure that we have. So we have been reducing our FX lending book, and we will continue on that trend. And then related to that, less FX wholesale funding and so on. Because the key risk that might be coming along is, as we said -- every single quarter, you ask me about the key risk in Turkey. There are obviously many things. But the final output that will be hurting our business there would be the currency devaluing, and with that devaluation, the FX lending book that we have might get hurt from this. As such, that's the first priority. And that's what we have been doing. We basically cleaned out all or most problematic ones -- corporate exposures to FX, which are companies that don't have clear FX revenues and so on. As such, we will keep on that trend. That's the first thing that we are doing. And then more CPIs -- in the ALCO book, we are trying to get more CPIs, obviously. And then manage the spread -- manage the spread in such a way that we don't go at all long term and we focus on short term so that we don't want to grow in long-term natured products like mortgages in this environment. We have to see our front first before we can go long term. So those were kind of the key highlights on what we are trying to do. Regarding the recessionary risks on capital and whether we would revise our management reference. Britta, our management reference, the 12 -- let's say, it's 11.5 to 12. The upper end -- let's take the upper end -- versus our requirement is 340 basis points. This 340 basis points -- because when everyone looks into capital, for some reason the requirement doesn't come into the picture. But that's what matters, the gap. 340 is much higher than the average of the big European banks, which is 307 basis points in terms of management reference. So we are already above. More importantly, why is that requirement also so low? That feeds into that. Our ability to generate capital, as you have seen the results of today. And we have guided -- in the investor presentation, we were saying â¬1 billion to â¬1.5 billion of organic capital generation every year, excluding corporate operations, which is one-off, so we don't know them. And excluding supervisory impacts, because they are uncertain and you don't know when they come along. Excluding those 2, we would create â¬1 billion to â¬1.5 billion. We are looking into our numbers and our situation at the moment. We are -- we have an upward thinking on that number. So this year, we are going to be creating more than that organically. In that context, if you create organic capital as such and if the variability, the volatility of your capital generation -- if you look into our CET1 evolution, annual CET1 evolution in the last 20 years -- and the variability, it's a basic standard deviation of our capital evolution. You see that we are one of the least variable because we are diversified. And we do have these great consumer -- banking franchises all around the world. Given that, the variability is also low. As such, I don't see any increase in the management's reference in the short term.
Patricia Bueno: Next question, please.
Operator: Our final question today comes from the line of Carlos Cobo from Societe Generale.
Carlos Cobo: Two quick follow ups on what has been discussed. Could you quickly clarify if the ECB in your opinion has any veto rights on the new bank levy? So can they stop it for good? I believe they don't, but I wanted to confirm it with you. Also, a quick follow up on what Rafa said before on the deposit beta. If I heard that correctly, he said that it may be around 75%. Is that the right number? And are you talking about term deposits only or for the whole deposit mix if you include the transition from side to term deposits? It will be helpful to understand how you are thinking about that. And those are my main questions. All the rest have been answered already.
Onur Genc: Rafael, do you want to take the second one on deposit betas
Rafael Salinas: Yes. Okay. Do you want me to start?
Onur Genc: Yes, why not.
Rafael Salinas: Carlos, what I was saying is that at the end of the day, we are expecting a movement from demand deposit to term deposits. It will happen when we have an increase in rates. And we are expecting in those term deposits that will transfer to the clients 70% -- 75% of the movement on the rates, on the rise in rates on average. So at the end of the day, these are the assumptions implicit on the NII sensitivity that we provide. But it's just on the term deposits the amount that we are expecting to transfer to clients -- to customers from the movements on rates.
Onur Genc: Then on the veto rights, I don't know the answer, Carlos. I don't know, so I should not misled you or judge on this one. The only thing I would tell you is that ECB in the past have clearly presented strong opinions on this topic. There was one in 2020 in Lithuania. There was actually a paper or a position in 2019 basically saying what I said at the beginning of the call. I will quote from that thing: "Any ad hoc taxes imposed on banks for general budgetary purposes would be undesirable to the extent that such taxes would place undue burden on banks, hampering the provision of credit with a knock-on effect on growth in the real economy." So their position, I think, is clear. But then beyond that, what does that mean at the moment is very tough to judge. Any other questions?
Patricia Bueno: No. Thank you. So this was the last question. Thank you, everyone, for your questions. And we will end it here. Let me remind you that the entire IR team will be available to answer any questions you might have. And thank you very much for your interest, and have a nice summer.